Operator: Welcome to The Priceline Group's third quarter 2016 conference call. The Priceline Group would like to remind everyone that this call may contain forward-looking statements which are made pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. These forward-looking statements are not guarantees of future performance and are subject to certain risks, uncertainties, and assumptions that are difficult to predict. Therefore, actual results may differ materially from those expressed, implied or forecasted in any such forward-looking statements, expressions of future goals or expectations and similar expressions reflecting something other than historical fact are intended to identify forward-looking statements. For a list of factors that could cause the group's actual results to differ materially from those described in the forward-looking statements, please refer to the Safe Harbor statement at the end of the group's earnings press release as well as the group's most recent filings with the Securities and Exchange Commission. Unless required by law, The Priceline Group undertakes no obligation to update publicly any forward-looking statements whether as a result of new information, future events, or otherwise. A copy of the group's earnings press release together with an accompanying financial and statistical supplement is available in the For Investors section of The Priceline Group's website at www.pricelinegroup.com. And now I'd like to introduce The Priceline Group's speakers for this afternoon, Jeffery Boyd and Daniel Finnegan. Go ahead, gentlemen.
Jeffery H. Boyd - The Priceline Group, Inc.: Thank you very much, and welcome to The Priceline Group's third quarter conference call. I'm joined this afternoon by our Priceline Group's CFO, Dan Finnegan. The Priceline Group brands executed well, delivering on peak summer travel demand in the quarter. All of our global employees worked hard to make sure our customers had fantastic travel experiences, from our property teams driving availability in the quarter to our customer service teams handling the volumes of requests during our busiest season. Our financial results indicate favorable trends in the business. The group reported year-over-year room night growth of 29% for the third quarter, which represents acceleration over the second quarter. Consolidated gross bookings for the third quarter were approximately $18.5 billion, up about 26% on a constant currency basis or about 25% year-over-year in U.S. dollars. Gross profit was up 22% or about 23% on a constant currency basis. Earnings per share were $10.13 which was negatively impacted by a $941 million non-cash impairment charge that I will discuss in a moment. Non-GAAP earnings per share were $31.18, up 23% versus the prior year surpassing our guidance for the quarter and FactSet's consensus estimates of $29.92. Booking.com executed another strong quarter, showing acceleration in both room night and gross bookings growth. This acceleration for such a large business is a testament to Booking's growing inventory of hotel and non-hotel accommodations and its ability to optimize peak season travel demand with tools and automation to make sure it has the best availability combined with a seamless customer experience. Booking's property teams remained active in the quarter as its total property count now stands at approximately 1,065,000, which represents a year-over-year increase of 29%. The Booking.com platform includes approximately 529,000 instantly bookable vacation rental properties, which grew 39% year-over-year. Booking.com's properties represent a combined total of approximately 24.4 million potentially bookable rooms. Of this total, 16.9 million are within our traditional hotel partners and 7.5 million are bookable rooms in homes, apartments, villas, and other categories of unique places to stay. Our non-hotel properties continue to grow nicely as we build one of the largest platforms of instantly-bookable vacation rental and alternative accommodation properties in the market today. Adding supply of these growth rates creates momentum in the business beyond the current quarter as new properties typically become more productive over time once brought onto the Booking.com platform. Booking.com is also making substantial investments to drive future growth, including constant front-end experimentation, new product development such as Booking for Business and building more extensive distribution partnerships to extend the reach of the business. Exciting new relationships such as Southwest Airlines demonstrate how we are able to bring the power of our deep global distribution platform to enhance our partner's customer experience. The priceline.com team is working hard to improve performance and marketing, product, front-end, and mobile offerings. We believe the priceline.com's leadership team is making smart decisions to position this leading brand for growth in the future. We are pleased to announce the promotion of Brett Keller to CEO from Interim CEO recognizing the passionate and skilled leadership he has brought to the brand since taking the helm. KAYAK delivered another quarter of top and bottom line growth while also investing in the future. KAYAK work towards executing on its key initiatives for the year, usability improvements, customer optimization, and the development of new mobile tools. KAYAK also announced its expansion in Asia-Pacific and Latin America, two key geographic regions. With a greater presence in Asia-Pacific, KAYAK will be better positioned to capitalize on one of the largest online travel markets in the world. Additional resources in its Miami office will allow KAYAK to continue its fast-paced growth in Latin America where it already has operations in Brazil, Mexico, Argentina, Colombia, Chile, and Peru. Agoda posted a strong quarter with accelerating top line growth. It is particularly important to note that the growth came primarily through direct channels, which grew faster than its paid channels. Moreover, Agoda continues to see high rates of mobile growth across its customer base. Agoda continued investments in its merchant supply platform which enables it to control its content, innovate, and participate aggressively in closed user group and other discount offerings, which play an important role in the APAC market. Rental car days for the group grew 13% in the quarter, driven primarily by Rentalcars.com's strong performance. Rentalcars.com saw its rental car days accelerate in the quarter and witness robust demand across most of its key geographies. The team delivered on a busy summer season and executed a very solid quarter despite continued macro and currency pressures resulting from Brexit. Finally, turning to OpenTable, you will see in our recently filed 10-Q that we reported a non-cash impairment of goodwill of approximately $941 million. The impairment is the result of a change in OpenTable's business strategy relating to the pace of its international expansion and other growth initiatives. Importantly, this change in strategy allows OpenTable to invest in building its inventory of bookable restaurants and restaurant listings, in innovation around user experience and cloud-based restaurant tools, in new product development particularly in casual dining and in international expansion. OpenTable has delivered good results over the past two quarters with earnings growth driven by cost discipline versus plan, and growth in diners making reservations on OpenTable's branded sites. OpenTable's investments in future growth include completion of its international technology platform which will allow it to sell more effectively into the global traveler market, and to work on important product enhancements aimed at driving diner growth. We remain enthusiastic about the long-term prospects for OpenTable. In summary, the group executed well during our busiest quarter, producing record financial results. As always, I would like to thank our employees around the world for their hard work and dedication. I will now turn the call over to Dan for the detailed financial review
Daniel J. Finnegan - The Priceline Group, Inc.: Thanks, Jeff. I'll discuss operating results and cash flows for the quarter and then provide guidance for the fourth quarter of 2016. All growth rates referenced in my comments are relative to the prior-year comparable period unless otherwise indicated. Q3 was a solid quarter for The Priceline Group with acceleration in room night growth to 29% compared to 24% in Q2. Performance was strong across each of our key geographic regions and this momentum has carried over into Q4 as I will discuss in a moment when we get to guidance. Rental car day growth also accelerated to 13% in Q3 compared to 8% in Q2. Average daily rates for accommodations, or ADRs, were down by less than 1% for Q3 versus prior year on a constant currency basis for the consolidated group, which was consistent with our forecast. Foreign exchange rate impacts were slightly unfavorable to our results expressed in U.S. dollars as compared to prior year and were in line with our forecast. Q3 gross bookings grew by 25% expressed in U.S. dollars and grew by about 26% on a constant currency basis compared to prior year. The difference between constant currency gross bookings growth and room night growth is due to a decline in airline ticket gross bookings, lower accommodation ADRs, and relatively slower growth for rental car gross bookings. Gross profit for the quarter for The Priceline Group was $3.6 billion and grew by 22% in U.S. dollars and by about 23% on a constant currency basis compared to prior year. Non-GAAP gross profit as a percentage of gross bookings for Q3 is 41 bps lower than prior year Q3. The decrease is mainly due to normal book versus day time lag with accelerating gross bookings growth in Q3, and an expanding booking window. Other smaller contributing factors for the variance are the level of accommodation participation in preferred placement and commission override programs, business mix, and discounted closed user group rates. We continue to believe that our commission rates are sustainable over the long-term based upon the value that we deliver to our travel partners at relatively low distribution costs. Our international operations generated gross profit of $3.3 billion, which grew by 25% in U.S. dollars and by about 26% on a constant currency basis compared to prior year. Gross profit for our U.S. operations amounted to $335 million, which was about flat with the prior year. U.S. gross profit for Q3 2016 and 2015 includes benefits in the amount of $5.1 million and $13.7 million, respectively, related to favorable travel transaction tax rulings in Hawaii. Advertising and other revenue, which mainly comprised of non-intercompany revenues for KAYAK and OpenTable, grew by 11% in Q3 compared to the prior year. Operating income declined by 44%, including a $941 million non-cash impairment charge to write-down the carrying value of goodwill related to OpenTable. OpenTable has delivered healthy growth in diner reservations and improved operating results under the leadership of Christa Quarles and her management team. The impairment results from a reduction to our long-term forecasted results for the business based upon actual results since the acquisition and a change in strategy for the business going forward. The OpenTable team will continue to pursue its international expansion opportunity and other growth initiatives going forward, but will invest at a measured pace that is more commensurate with the current growth trajectory of the business. The non-cash goodwill impairment charge is excluded from non-GAAP operating income, adjusted EBITDA, non-GAAP net income, and non-GAAP EPS because it is not indicative of our core operating results and renders comparisons with prior periods less meaningful. Non-GAAP operating income grew by 19% and non-GAAP operating margins exceeded our guidance, but decreased by 161 bps compared to Q3 last year due to performance advertising. Performance advertising deleverage was impacted by lower advertising ROIs and our acceleration in top line growth that will partly benefit gross profit in subsequent quarters when travel takes place. Operating margin performance was better than our forecast due to slightly better than forecasted advertising efficiency and less non-ad OpEx spending than assumed, partly due to spend shifting to Q4. Adjusted EBITDA for Q3 amounted to $1.9 billion, which exceeded the top end of our guidance range of $1.83 billion and grew by 19% versus prior year. GAAP net income decreased by 58% and fully diluted EPS decreased by 57%, in both cases inclusive of the $941 million impairment charge I discussed a moment ago. Non-GAAP net income increased by 20% and non-GAAP EPS grew by 23%, including interest expense from our recent bond offerings and the beneficial impact of a lower share count resulting from stock repurchases. In terms of cash flow, we generated $1.5 billion of cash from operations during third quarter 2016, which is about 15% above last year. We repurchased 144,000 shares of our common stock for $199 million during the quarter, and we have purchased an additional $25 million of our common stock after quarter close. CapEx for the quarter amounted to $54 million. We entered into a contract in Q3 to build a 753,000 square foot building with capacity for 4,600 employees in Amsterdam to serve as the headquarters for Booking.com. Our Booking.com team in Amsterdam is currently housed in several buildings across the city. We believe bringing the team together in a modern headquarters in the center of one of the greatest cities in the world will produce operational benefits. The project also makes sense from a financial perspective, as we will use international cash to build what we believe will be valuable real estate in the Amsterdam market. We expect the building to be completed in 2020 for a total cost of approximately €270 million plus the cost of office fit-out, furnishing, and fixtures. Q3 investment cash flows include about $54 million paid towards the project, including $48 million paid to obtain use rights to the land upon which we will build. We expect to pay about $40 million of the project cost in 2017, with the remainder paid over 2018 through 2020. Our cash and investments amounted to $13.7 billion at September 30, 2016, with about $1.5 billion of that amount from the U.S. Now for Q4 guidance, as I mentioned when we reported our results last quarter, starting with our guidance and reporting for the fourth quarter and going forward, we are changing our reporting for non-GAAP financial metrics. The guidance for Q4 that I'm about to give for adjusted EBITDA and non-GAAP net income includes the cost of stock-based compensation. We are also no longer reducing income tax expense for the impact of net operating loss carry-forwards, as that benefit now represents a smaller contribution to non-GAAP net income and will eventually sunset as our NOLs are used or expire. Apart from the items above, our non-GAAP reporting will be generally consistent with prior practice. Our Q3 earnings release that was just issued includes a reconciliation of non-GAAP information to the corresponding GAAP measure prepared using this new methodology for each quarter of 2015 and the first three quarters of 2016 to assist investors with the transition. Q4 is off to a solid start, with gross bookings continuing to grow nicely across our key geographic regions. Our guidance assumes that our growth rates will decelerate as we progress through the quarter, mainly due to the size of our business and consistent with long-term trends. Our guidance also reflect a difficult comp starting in December and running through Q1 2017 because our room night growth accelerated fairly significantly in the prior-year comparable periods. Our Q4 forecast is based upon recent foreign exchange rates and assumes that our growth rates in U.S. dollars will be slightly dampened by foreign exchange rate fluctuations. For Q4 guidance, we are forecasting booked room nights to grow by 20% to 25% and total gross bookings to grow by 16% to 21% in U.S. dollars and by 17% to 22% on a constant currency basis. Our Q4 forecast assumes that constant currency accommodation ADRs for the consolidated group will be about the same as the prior-year period. We expect gross profit to grow by 13% to 18% in U.S. dollars and by 14% to 19% on a constant currency basis. Our adjusted EBITDA is expected to range between $755 million and $795 million, which at the midpoint is up 8% versus prior year. We forecast that adjusted EBITDA will grow more slowly than gross profit due to forecasted ROI pressure for performance advertising. Our forecast assumes further deterioration in ROIs over the balance of the quarter to provide us with flexibility in a dynamic market to follow our consistent approach of generating gross bookings at reasonable ROIs. We are pleased with the balance struck by our brand teams in Q3 and thus far in Q4 to deliver exceptional top line growth with healthy bottom line growth and market-leading adjusted EBITDA margins. We forecast GAAP EPS between $11.40 and $12.00 per share for Q4, which at the midpoint is up about 17% versus prior year. Our EPS guidance assumes a fully diluted share count of 50 million shares based upon yesterday's closing stock price and reflects the beneficial impact of the common stock repurchases we have made to date. Our EPS guidance also benefits from a forecasted tax rate of 12% compared to the prior-year tax rate of 18% which results from forecasted mix of pre-tax earnings between our U.S. and international businesses. Our U.S. earnings, which include interest expense on our debt and the cost of our corporate group, are taxed at a substantially higher rate than our international earnings and are down in our Q4 forecast compared to the prior year. We are targeting Q4 non-GAAP fully diluted EPS of approximately $12.20 to $12.80 per share which at the midpoint is up about 17% versus prior year. Our non-GAAP EPS forecast includes an estimated income tax rate of approximately 14%, which is lower than the prior-year rate for the same reasons discussed a moment ago for the GAAP tax rate. As you model 2017, we estimate a full year non-GAAP tax rate of about 18%. The difference between our GAAP and non-GAAP results is driven by non-GAAP adjustments that are detailed in our earnings release. Consistent with past practice, we have hedge contract in place to substantially shield our fourth quarter EBITDA and net earnings from any further fluctuation in the euro, British pound, and various other currencies versus the dollar between now and the end of the quarter. Our forecast does not assume any significant change in macroeconomic conditions in general or in the travel market in particular. We will now take your questions.
Operator: Thank you, sir. Our first question comes from the line of Justin Post of Bank of America. Your line is open.
Justin Post - Bank of America Merrill Lynch: Thank you. Obviously, the room nights came in well above your forecast and you're forecasting strength in Q4. Can you describe or discuss any market dynamics that maybe gotten more favorable in the quarter? And then on ROI on the marketing spend, it looks like it might have come in better than you forecast; maybe relate that to the room night comment. Thank you.
Daniel J. Finnegan - The Priceline Group, Inc.: Okay, Justin. So yes, room night performance was strong in the quarter. I said it was strong across all of our key geographic regions. I'd say it was broadly strong across all our demand channels too, so there's nothing I could call out in particular for you there and it was broad-based strength, the macro environment feels relatively healthy for us. That same story has continued thus far in Q4. We assume that we'll decelerate from here on out I think to a lesser extent than typical for November because we have the comp against the Paris terrorist attacks into a greater extent than usual for the month of December given the difficult comp that we had in the prior year. And then the ROI is better than the forecast. I think you can get a sense for the split between how much of the margin pressure is driven by the acceleration in the business relative to ROI pressure by looking at the growth and performance advertising relative to our gross bookings growth and then the disconnect there would give you an indication of ROI pressure and then the remainder, the performance advertising relative to gross profit is due to book versus day time lag.
Justin Post - Bank of America Merrill Lynch: Great. And maybe one follow up, any pressure you're seeing from the hotel change discounting directly on their own sites, any change there?
Jeffery H. Boyd - The Priceline Group, Inc.: We haven't seen, Justin, much of a change in that situation since we reported last quarter. I think the statements coming from the chains have been consistent and we haven't seen anything in the marketplace to indicate a change in the general dynamics associated with that.
Justin Post - Bank of America Merrill Lynch: All right. Thank you
Operator: Thank you. Our next question comes from Mark Mahaney of RBC Capital Markets. Your line is open
Mark Mahaney - RBC Capital Markets LLC: Thanks. You talked about, with the Agoda property, seeing direct traffic grow faster than paid channel traffic. Could you elaborate on that? Is that something you hadn't seen before? Do you think something like that is sustainable? Was there a particular strategy that paid off there that maybe you could replicate in other areas? That would obviously be big for the business model if, you as a whole, could get more direct versus for paid channels. And then one other question, please. Any comment on Booking.com's traction in the U.S. market? I think Booking.com's CEO at an industry conference in September made a comment that you were gaining real traction in the U.S. market. So anything you can elaborate on that would be appreciated. Thank you
Jeffery H. Boyd - The Priceline Group, Inc.: Okay. Thank you, Mark. Agoda's had a long-term goal and objective to try to increase the amount of direct business and you've seen across other of our brands, for example, a push to spend money on brand advertising in addition to PPC and I think that's consistent with that objective that's reflected in Agoda's results. I wouldn't say that there's some macro trend in that regard that you should expect to see reflected in the entire business. And keep in mind that Agoda, being in the Asia-Pacific market, that's a market where mobile is growing particularly fast and the mobile experience in many of those markets is much more driven by your success in getting customers to download apps, and obviously once you've got an app download, you've got direct business. Booking.com is doing well in the United States. They've been in this market for years now. They've built a competitive inventory set. And while in the early days, the business was more characterized by inbound international travel. They are doing a good job building the business from U.S. customers' booking accommodations for purely domestic travel. And I think we've said in the past that based on the best information available to us, we think that Booking.com is gaining share of the market here in the United States for U.S. bookers and domestic travel and we still believe that to be the case.
Mark Mahaney - RBC Capital Markets LLC: Thank you, Jeff.
Operator: Thank you. Our next question comes from Heath Terry of Goldman Sachs. Your question, please.
Heath Terry - Goldman Sachs & Co.: Great. Thanks. As we look at the leverage on sales and marketing, we obviously got a little bit less of increase in performance advertising as a percentage of gross profit than we saw last quarter. Can you give us a sense of how you view that trade-off between the gross bookings and the room night outperformance you saw this quarter, and if there is a – whether it's a target return on advertising spend or a target margin that you're aiming for or growth rate that you're aiming for there? Or is there a point where you could see that percentage of advertising – or advertising as a percentage of bookings or gross profit starting to settle out?
Jeffery H. Boyd - The Priceline Group, Inc.: Heath, I don't think we have undertaken ever to project where that long-term relationship between performance-based advertising and gross profit dollars will ultimately shake out. We've been forecasting and experiencing modest deleverage on that line as a fairly long-term trend, but I think the performance of the business has shown that we're doing generally a better job than our competition of managing those trade-offs and able to drive share, gaining organic growth in the business on the one hand, and better overall operating margins on the other. So we don't want to put our brands in a position where they have to make some pre-determined ROI decision and not be able to respond with flexibility to market conditions, as Dan mentioned in his prepared remarks.
Heath Terry - Goldman Sachs & Co.: Okay. Great. Thank you.
Operator: Thank you. Our next question comes from the line of Brian Nowak of Morgan Stanley. Your line is open.
Brian Nowak - Morgan Stanley & Co. LLC: Thanks for taking my questions. The first one, can you talk about the business mix shift toward paid or more toward direct in the quarter? I know last quarter you mentioned a little bit of a mix shift toward direct, which is a change from what we saw for the couple years when you weren't manning the helm, Jeff. So just curious as to – is the mix shifting toward paid? And if so, why is that? And then secondly, can you just talk a little bit about capital structure and how you think about the potential for larger buybacks over time? Thanks.
Jeffery H. Boyd - The Priceline Group, Inc.: So, I think, we've had a consistent – as I mentioned earlier, Brian, a consistent goal of trying to build our direct business, and I think for Booking.com in particular, which is our largest business, and is very active and effective in advertising in paid channels. The relationship between the share of direct and share of paid is driven by a couple of different things and while one of those is our success in building direct business through brand advertising, through direct business from repeat customers who are loyal to our brands and in mobile channels, to the degree, we can drive app downloads and app usage. But on the other side, the other factors are the relative attractiveness of the paid channels with which we do business, and I think it's our view that if we can drive business in an attractive ROI whether it's through paid search, through meta-search channels, through partnerships which is something that we've worked hard and gotten some good results on, we'll absolutely do that. And the opportunity in the paid market has been attractive. So I don't think we view there has been a sea change in either our goals around this, or an abrupt change in mix shift. I think we mentioned with respect to Agoda that they had a good quarter of driving growth in their direct channels, but I don't think you all should extrapolate that that's representative of some very significant change in how we look at or operate the business.
Daniel J. Finnegan - The Priceline Group, Inc.: And then with respect to capital structure, I think the answer is similar to our answer to what we've done, I think we've established now a pretty good track record of consistently buying back our stock. We have an authorization in place, and I don't see any reason at this point in time that that would change dramatically from what we've done in the past.
Brian Nowak - Morgan Stanley & Co. LLC: Great, thanks.
Operator: Thank you. Our next question comes from Douglas Anmuth of JPMorgan. Your question, please.
Douglas T. Anmuth - JPMorgan Securities LLC: Great, thanks for taking the question. Jeff, you were talking about KAYAK and some of the enhancements you're doing there around usability and customer. I was hoping you could elaborate there a little bit and talk about some of the new things and how you're driving that business. And then secondly, can you give us any update on the progress for group CEO? Thank you.
Jeffery H. Boyd - The Priceline Group, Inc.: Sure, Doug, so a couple of things that I would mention for KAYAK. First is they have great velocity in just the day-in and day-out front-end testing user experience. They run a lot of experiments, and some of those experiments represent what might look on its face to be a trivial change to the way something is presented or the way a particular call-to-action button is identified. But the sum total of all those experiments and the ones that make their way to deployment on the website drive conversion, drive growth, and can drive improvements to monetization. So those are very, very important, they take up substantial development efforts, and it's a big part of not only what KAYAK does but what all of our brands do. I think some of the more interesting things that KAYAK has been working on are around artificial intelligence, natural language processing with Alexa, Facebook Messenger trying to be able to respond to a customer's spoken query, which is at its early stages now. It's not generating a ton of business, but I do believe it's at the front end of some pretty important changes in the Internet in general and the way people interact with technology. And KAYAK is doing a very good job of being out in the front of that. In terms of the CEO search, there's no particular update to report today other than to say it continues apace with our board committee, who is working on it and I think making progress. And when we have an announcement, you guys will be the first to know.
Douglas T. Anmuth - JPMorgan Securities LLC: Thank you.
Operator: Thank you. Our next question comes from Lloyd Walmsley of Deutsche Bank. Your line is open.
Lloyd Walmsley - Deutsche Bank Securities, Inc.: Thanks. You guys called out distribution partnerships and Booking.com for Business in the prepared remarks for some of the strength in room nights. Is that becoming a meaningful portion of the acceleration? Is there any update you can share on the mix of room nights coming from Booking.com for Business? And then I guess a second one, if I can, you touched on this around KAYAK improving, I guess, iterating and testing on conversion rates. But in core Booking.com, do you guys still see good meaningful conversion gains, particularly in mobile, or do you feel like you've just gotten to the point where there's limiting marginal conversion benefits? What kind of update can you give us there? Thanks.
Jeffery H. Boyd - The Priceline Group, Inc.: Sure, Lloyd. So I think with respect to the partnership business, and I'd make this answer for all of our brands. We definitely are interested in affiliate relationships where the affiliate has a brand-independent content, a reason for customers to go to their site independent of purely hotel booking, and I think those partnerships are bringing growing business to the group. I don't have a particular number to associate with their contribution. But if we can make the right kind of deals, if we can have partnerships that allow us to show our brand to consumers and have them experience the product, we like them. And I think we're in a very strong position to compete for that business in many markets because of the comprehensiveness of our inventory and the quality of our technology and customer experience. With respect to Booking for Business, Booking for Business is off to a good start. It's still a relatively new initiative. I'm not in a position to give you a number as to the specific contribution of the business to our total growth. I can say that business travelers represent a reasonable amount of the business we have on Booking.com and are generally participating in the overall growth of that business. That's distinct from businesses, companies that are actually signing up for and using the Booking for Business tools. That represents a smaller amount of business today but it's growing nicely. And I think we have a very attractive product for business users, and I expect that to do good things in the future. We're quite optimistic about it. I don't think that Booking.com or any of our other brands are at a point of diminishing marginal returns from front-end experimentation and innovation. And when you think about it, because the technology that surrounds us and that we employ in our business and that we interact with our partners is constantly changing, that means that the opportunity and the need for innovation is constantly there. So we could have thought that we were potentially running into diminishing returns in desktop, and then a new technology comes up that allows you to show additional database returns without leaving the page, which just created a massive opportunity for our engineers and product people to code great innovation and things that help the customer while they're in the shopping process. It's one very small example of a change in technology that happened several years ago that was a very significant game-changer in terms of the things that you could do on a desktop website. And there's just more and more of those happening on all the platforms that we interact with. So I don't see there ever being a time when the opportunity and also, quite frankly, the need to innovate on the front end is marginalized because of these changing technologies. I hope that's helpful.
Lloyd Walmsley - Deutsche Bank Securities, Inc.: Thank you.
Operator: Thank you. Our next question comes from Chris Merwin of Barclays. Your line is open.
Christopher David Merwin - Barclays Capital, Inc.: All right, thank you. So I guess as it relates to alternative accommodation, you posted another quarter of really healthy growth. So I was just wondering if you could update us a bit on the bookings number that you're getting from those properties, and if not, I was hoping maybe you could talk a bit more about your strategy to grow listings count for alternatives. I know historically you've mainly sourced properties from large property managers, I just was curious how much runway you see there and if there's an opportunity perhaps to go after more of the individual owner market, as well? Thanks.
Daniel J. Finnegan - The Priceline Group, Inc.: Hey, Chris. It's been a nice driver of our growth for several years now. It has been a big area of growth in our property count, and it's an area where we continue to add properties and we look to for the future as well. We've made initiatives through #BookingHome, where we're trying to make it an easier proposition for a homeowner to participate in the platform. So I think our ability to signup individual homeowners, apartment owners, and let them present their supply on our platform where we can bring great demand to them at a reasonable price, will only grow over time. So it is a big opportunity. I mean, the number of non-hotel accommodations out there is huge compared to the number of properties we have signed currently. And so I think it's going to be a continued area of growth for us in the future.
Christopher David Merwin - Barclays Capital, Inc.: All right, thank you.
Operator: Thank you. Our next question comes from Eric Sheridan with UBS. Your line is open.
Eric J. Sheridan - UBS Securities LLC: Thanks for taking the questions. Maybe two. One, on the performance advertising, you've referenced a number of new channels over the last couple of conference calls, Facebook, looking at the IB product through Trip. Google has also innovated around booking products at the top of the funnel. Maybe understand a little better how those are as a percentage of the mix of performance today with your relative ROI versus traditional paid search and how you see that evolving over time. That would be helpful. Thanks so much.
Daniel J. Finnegan - The Priceline Group, Inc.: So some of those new channels you talked about, Eric. Facebook, we continue to experiment with them. They're still in the pretty stages of trying to find the best way to work with us to put ads in front of their customers at a time when they're interested in seeing them. So we're doing some retargeting there through dynamic ads. It's still early days. It's still relatively small but it's growing nicely and we're going to continue to work with Facebook and we'd love to spend more money with them at a reasonable ROI. In terms of Trip and Instant Book, no update really from what we've told you on prior calls. We're happy to be participating in that channel. We think it gives us good brand advertising, particularly in the U.S. for Booking.com as we continue to look to grow the brand here. But the overall impact of Instant Book on our growth and our ad efficiency has not been significant. And then Google is continuously experimenting and iterating with different ways of answering travel queries for their customers and we work closely with them. They've been a great partner for us. We'll continue to work with them as they add new channels in the future, new ad placements, and look for ways that it will work for us and for them. To-date, it's mostly been about them trying to give their customer a better experience and give us and other OTAs a more qualified lead. And they've had some success with that. When we get a more qualified lead, it converts better and so we're able to pay more. And so I think that they're going to continue to experiment in the future and with our position as being one of their leading customers, we get good access to them during the experiment stage, typically, so that we can help work with them to make sure that the offering is going to be most successful for them and for us.
Eric J. Sheridan - UBS Securities LLC: Great. Thanks for the color.
Daniel J. Finnegan - The Priceline Group, Inc.: You're welcome.
Operator: Thank you. Our next question comes from Peter Stabler of Wells Fargo. Your line is open
Peter C. Stabler - Wells Fargo Securities LLC: Good afternoon. Thank you. Jeff, I was wondering if you could comment a little bit on the mobile migration? You touched on Trip, but outside of Trip, just wondering if you could talk a little bit about mobile usage trends, app usage trends, and whether you're seeing improvements in conversion as customers become more accustomed doing rather complex transactions on mobile devices? Thanks so much.
Jeffery H. Boyd - The Priceline Group, Inc.: Sure, Peter. I think the numbers that we've been reporting for the last couple of quarters are showing that the group is doing well, our brands are doing well in participating in the migration of the business to mobile. And I think in some markets, particularly in the developing markets, it's not per se a migration, it's more that the business is developing initially as a mobile business because for many users in those markets the mobile devices their primarily or their only access to the Internet. And so, for example, you mentioned app usage, in some markets, and particularly in Asia-Pacific, access through downloading of apps is a much more important factor than it is in other more developed markets where apps can tend to represent a relatively smaller percentage of overall business. I think that our brands have done a good job building world-class mobile user experiences. I think that we've found ways to experiment on those platforms and in those operating systems which have allowed us to continue to improve the user experience. I think we've been able to take the expertise that we've had in performance marketing in non-mobile channels and, over time, build up that same kind of expertise in mobile channels so that we're able to gain share of business coming in paid channels, and our scale is obviously a big help in that regard because we have the most comprehensive inventory and great conversion so that allows us to compete aggressively for placement in mobile advertising venues. So, the mobile business continues to grow and to grow as a share of the total business. I think, over time, it becomes a more mainstream channel than perhaps it was in the early days of mobile where it was a venue for discounting, and for a special way of looking at the business now. In many regards, it really is a mobile-first world and the product view that you have really starts off with a mobile view. I think our brands are doing a good job in that regard and I think you all should realize that that's absolutely a first priority for us in terms of how we look at the world from both a development perspective and from a marketing perspective.
Peter C. Stabler - Wells Fargo Securities LLC: Thank you, Jeff.
Operator: Thank you. Our next question comes from Kevin Kopelman of Cowen & Co. Your line is open.
Kevin Kopelman - Cowen & Co. LLC: Hi. Thanks. Could you give us an update on the Booking Genius program? What's the uptake been like on that, and to what extent are the discounts on that program being funded by the hotel partners versus Booking.com? Thanks.
Daniel J. Finnegan - The Priceline Group, Inc.: So, the uptake on that Kevin has been strong. It's a great offering for Booking.com loyal users, special discounts that aren't widely available to people that haven't qualified for the Genius program. And the discounts are made available by hotels that want to get access to those high-frequency travelers and Booking.com's most loyal users, and get the opportunity to market to those travelers and get them to become loyal customers for their hotels as well. So it's a share between the hotel and booking in terms of the cost of the discount. The lower rate would result in a lower absolute commission for us when you apply our commission rate to the discounted price.
Kevin Kopelman - Cowen & Co. LLC: Okay. Got it. Thanks a lot.
Daniel J. Finnegan - The Priceline Group, Inc.: You're welcome.
Operator: Thank you. Our next question comes from the line of Naved Khan with Cantor Fitzgerald. Your line is open.
Naved Khan - Cantor Fitzgerald Securities: Hi. Thanks. Just a couple. So, Google introduced a fourth link to mobile search results in the third quarter and they also made some tweaks to the algo for organic. Can you talk about any kind of impact you might have seen on the business as a result of that? And then I have a follow-up.
Jeffery H. Boyd - The Priceline Group, Inc.: With respect to the organic, again, I think you can see in our results that we've had a good quarter and so I think it's safe to assume from that that whatever changes they made in organic have not had a substantial effect on the momentum for our growth. I'm sorry but I didn't catch the first one.
Daniel J. Finnegan - The Priceline Group, Inc.: The fourth paid link.
Naved Khan - Cantor Fitzgerald Securities: The fourth link, yes.
Jeffery H. Boyd - The Priceline Group, Inc.: Sorry. The fourth paid link. Excuse me. So typically because we are more active in the pay channels, the existence of an additional link I would generally view as a positive for us rather than a negative.
Naved Khan - Cantor Fitzgerald Securities: Okay. Thanks. And then quickly on some of the international markets, can you just comment on destinations like Paris or Brussels, if you saw an improvement in these markets and how China outbound might be performing for you?
Daniel J. Finnegan - The Priceline Group, Inc.: Yes, so some of those markets, Naved, France has bounced back but continues to be impacted since the terrorist attacks last year. We'll be lapping that now in November and so that will create an easier comp for us in terms of ADRs and growth going forward. Turkey's also negatively impacted but bouncing back a little bit. China outbound is still growing nicely but has slowed a little bit over the last couple of quarters. So I think that's more tied to macroeconomic conditions there than anything with our business.
Naved Khan - Cantor Fitzgerald Securities: Thank you.
Daniel J. Finnegan - The Priceline Group, Inc.: You're welcome.
Operator: Thank you. Our next question comes from Tom White of Macquarie. Your line is open.
Tom White - Macquarie Capital (USA), Inc.: Great, thanks for taking my question. Dan, when you were talking about gross profit as a percent of gross bookings, I think you characterized take rates in the hotel business as stable. But could you just maybe give a bit of color on the other drivers of the change there? And I thought that you said something about booking windows being longer. I feel like that in the face with some of the steps that we see around mobile and what mobile is doing to booking windows. So if I heard you correctly there, maybe just if you could clarify. Thanks.
Daniel J. Finnegan - The Priceline Group, Inc.: Sure, Tom. So I said it was about 41 bps of pressure we saw in the quarter. About half of that was due to the normal lag between the time when a booking occurs and travel occurs. We had accelerating growth in the quarter, so that would typically put more pressure on that metric. And then we have seen pretty steady expansion in our booking window, so there's been somewhat of a barbelling. You're right that close-in bookings have been very strong, and that's been driven to a large degree by mobile. But we've also seen an expansion in booking window, so people also are comfortable making their bookings farther in advance than they have in the past. That could be just a function of people continuing to get comfortable with our model, particularly the agency model for Booking.com and the flexibility that gives them in terms of making the booking, having their vacation secure, and then if they need to change their plans they're able to do that. The other drivers that put some pressure on the take rate in the quarter, I referenced the level of participation by hotels in preferred placement and commission overrides. That's a function of experiments that we run from time to time to work with sort order and see if we remove hotels from preferred placement that maybe aren't converting as well. Is that going to be a net positive experiment for us? It's not necessarily going to be a trend long term. And then commission overrides, the expensive hotels participate in that is generally driven by the lower levels of occupancy and their desire to push up their commission rates in order to drive more demand. I also mentioned business mix, so just the mix of properties and regions that are propelling our business, and we saw that to an extent was with lower commission regions and properties and put some pressure on the metric as well.
Tom White - Macquarie Capital (USA), Inc.: Thank you.
Daniel J. Finnegan - The Priceline Group, Inc.: You're welcome.
Operator: Thank you. Our next question comes from Brian Fitzgerald of Jefferies. Your line is open.
Brian P. Fitzgerald - Jefferies LLC: Thanks, guys, maybe two quick ones. TV seemed particularly crowded this quarter with Olympics, with Presidential races. Any puts and takes there in terms of the effectiveness of that channel for you? And then continuing decline in airline ticket bookings, any specific drivers around that?
Jeffery H. Boyd - The Priceline Group, Inc.: So with respect to television being crowded and it certainly has been with election season advertising, but by the time you get to this time of year, it's because you're passing peak travel season. We're not really in the peak season for running television advertising in the United States anyway. And our brand advertising, and I think you can see it in the numbers, has not grown the way you may have seen it grow last year in particular and maybe the earlier part of this year. So the spending has come down a little bit, and in part that's probably because of some of that crowding. With respect to the decline in airline tickets, I think that's a priceline.com metric, and it's driven over the long term by a general deterioration in the economics that are available to an online travel agent for selling an airline ticket, which means it gets less marketing support in general. And in the short term, as part of the efforts by Priceline to reorient the business here for better, sustainable long-term positioning, there's been a further diminishing of investment in performance-based marketing, in particular for airline tickets. So I think those are probably the two principal drivers of that trend.
Brian P. Fitzgerald - Jefferies LLC: Got it. Thanks, Jeff.
Operator: Thank you. Our next question comes from Ken Sena of Evercore. Your line is open.
Kenneth Sena - Evercore Group LLC: Thank you. Just in terms of building out some of your platform capabilities, any additional updates on your enterprise efforts with BookingSuite, signs of traction there, and maybe your verified review efforts or other? And then maybe second, just any pockets of ROI improvement that stood out by variable channel, meta, social, or other, maybe outside of search? Thank you.
Daniel J. Finnegan - The Priceline Group, Inc.: So BookingSuite, Ken, is still in the pretty early stages. We're excited about the opportunity. We've got a great team working on it day-in and day-out, but it's still in investment stage, still in the early stage, so not a lot to say there. And we're not going to comment on ROIs by any channel, so nothing I would call out for you there. Certainly, the actual results that we reported in Q3 and the guidance we're giving for Q4 point to more pressure than pockets of strength.
Kenneth Sena - Evercore Group LLC: Thank you.
Daniel J. Finnegan - The Priceline Group, Inc.: You're welcome.
Operator: Thank you. Our next question comes from Mike Olson with Piper Jaffray. Your line is open.
Mike J. Olson - Piper Jaffray & Co.: Good afternoon. With some changes in thinking around OpenTable and what kind of emphasis to put on future investments there, does that change your interest or willingness to look at other peripheral booking products and how challenging it may be to have success in non-core categories? And I guess if you are looking at other peripheral booking categories, can you share any details on what kinds of categories you consider? Thanks.
Jeffery H. Boyd - The Priceline Group, Inc.: So on the second question, we typically wouldn't comment on what we were looking for from a strategic perspective. I think we continue to believe that the relationship that our brands are building with their traveling customers can provide an opportunity for us to offer value to them while they're in destination. And you may have seen a release about Booking.com experiences in a few cities where they're testing a program to provide access to attractions, and so forth, to their customers. And from our perspective, that provides a real opportunity to build a deeper relationship with the customer if they're interacting with your product while they're traveling, while they're in destination. And because we have that connection and the data around their travel; where they're going, when they're going, et cetera, in many cases the customer's traveling with one of our apps on their mobile device. We continue to be very, very interested in that opportunity. I think specifically with respect to Open Table, we also remain convinced that that logic applies to dining and that travelers are all dining when they're on their trip, and that we've got an opportunity to provide content reservation making ability to those travelers. But we have an appreciation of the challenges inherent in doing that, and I think that those learnings will definitely inform us with respect to future acquisitions, but I don't think they're necessarily going to discourage us from considering them, or ultimately doing them. But we do have a better appreciation of the challenges of making those connections with our existing brands.
Mike J. Olson - Piper Jaffray & Co.: Thank you.
Operator: Thank you. At this time, I'd like to turn the call back over to management for any closing remarks. Gentlemen?
Jeffery H. Boyd - The Priceline Group, Inc.: Thank you all for participating in the call.
Operator: That does conclude your program. You may disconnect your lines at this time. Have a wonderful day.